Operator: Hello, everyone. My name is Mary, and I will be your conference operator today. At this time, I would like to welcome everyone to the Africa Oil Third Quarter 2021 Results Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speaker's remarks there will be a question-and-answer session. [Operator Instructions] Please note that this event is being recorded. The recording will be available for playback on the company's Web site. I would now like to pass the meeting to Mr. Shahin Amini, Africa Oil's Investor Relations and Commercial Manager. Please go ahead Mr. Amini.
Shahin Amini: Thank you, Operator. On behalf of management, thank you for joining us today for Africa Oil's third quarter 2021 results call. I'm joined today with our President and Chief Executive Officer, Keith Hill; Chief Financial Officer, Pascal Nicodeme; Vice President of Production, Craig Knight; and Vice President of ESG, Amy Bowe. Keith and Pascal will present the quarter's highlights and the business outlook before we go into the Q&A session. I would like to remind everyone that remarks made during this session are subject to forward-looking statements, which involve significant risk factors and assumptions, and have been fully described in the company's continuous disclosure reports. The information discussed is made as of today's date and time and Africa Oil assumes no obligation to update or revise this information to reflect new events or circumstances, except as required by law. The company's complete financial statements and related MD&A are available on the company's Web site and on SEDAR. Keith, please go ahead.
Keith Hill: All right. Thanks for joining, everyone. Obviously, we're going to start with our favorite asset, which is Nigeria. It seems to be the gift that keeps on giving, so we had another solid performance out of Nigeria. The year-to-date dividends are up to $150 million, we received another $112.5 million this quarter. So, we're actually very flush with cash in Nigeria. We have almost $500 million in cash in the company there, and we've sold two more cargos, so, literally, about $600 million in Nigeria, including our securitization of agreement. So, I think we're quite happy with the performance. We've also done a significant amount of delevering. We paid down 91% of our corporate debt, and 44% of the Prime debt, since January 20, when we assumed the deal. So, we actually have a positive net cash position now. We are looking that there may be a possible -- another dividend before the end of the year. If we do receive that dividend, we'll actually be completely debt-free on the corporate level. So, we have been looking to restructure our balance sheet a little bit. Yes, we do have an amortizing debt that we'd like to push out a bit. So, did sign a trade financing deal for $150 million, it has a seven-year tenor, and very similar terms to the RBL. So, we are in the process of upsizing that to $300 million, and I think that's going to, not only give us a longer payback period, but will give us some dry powder to do some of the things that we'll talk about a bit later with our cash position. We also had the Nigerian PIA, after about 12 years, was signed into the law by the president, in August, President Buhari. And it looks like it's very positive for the industry. I think there's quite a bit of incentives there to improve the economics for all short projects as there's a decrease in tax, there is a royalty holiday for new fields, of which our Egina qualifies, and our [pre-AOI] [Ph] development would then qualify. And I think probably the biggest thing for us is it looks like we will have a pathway to early conversion of those licenses. So, I think the idea of that of course is that once we extend those licenses, we can actually redo our RBL debt and have, again, a much stronger short-term balance sheet to pursue some of our objectives. So, again, production guidance, I think we've been right around the high end of the range. I think we slipped a little bit under the range on the net production, but we're still above the range on entitlement. So, I think for guidance for the year, we're going to be in a very strong position to get our guidance targets. But they have -- but with all of the OPEC restrictions off of Egina, we are producing pretty much on track. I think we did defer some CapEx last year, and I think we're looking at potentially getting some new wells drilled. So, we're hoping to certainly arrest the decline of the coming of the 200,000 barrels a day, but possibly even add some production as those new wells come on stream. So, again, our cash flow has been really good. I mean there is a $305 million component of Agbami security deposit in here. But even without that, we've hit the lower end of our guidance for the year, as of this quarter. So, I think, again, we've got the five more cargos to sell this year, so I think we're going to see a year-end [technical difficulty] position very strong. And I think that's going to give us some opportunities to do some additional things that I think our shareholders have been waiting for a while, and we're very eager to move forward on. So, with that, I'll turn over to -- sorry, the operational highlights. So, again, a lot of people ask this about hedging. Those of you who know me, I'm a very big oil bull, and I hate hedging oil going forward. But, obviously, with the banks, requires to be a little bit more aggressive on our hedging. They are coming off of those requirements, so the amount of hedging we're doing next year has come down quite a bit. We actually had no hedged cargos after April of 2022. So, I think we are in a position where we've hedged enough that we're going to be take care of all of our debt obligation, but we are seeing increased exposure to applied oil price. The average sale price we got on the four liftings we did last quarter was $58.6 per barrel. That has -- will increase significantly in the fourth quarter. And in the first-half of next year, we're actually closer to $70 a barrel from most of our hedges, but again, unhedged after that. Our OpEx continues to be very good. We've actually had a decrease in OpEx, [$5.2] [Ph] a BOE, which is kind of world-class standards for assets like this. And our CapEx has gone up a little bit. We did drill one well at Akpo, which is just being put on production. And I would see, probably next year, we'll try to do a little catch-up work. I think last two years; we've been kind of deferring some CapEx under the COVID and under the OPEC constraint of the Egina. So, I think it's probably time to go back and spend a little money, and make sure our assets are holding up. But again, hedging, we made an awful lot of money last year, I think there was $430 million gain for the [RBV] [Ph], last year. We will give a little bit of it back this year, but I think we're trying to make we've got good upside exposure to oil price next year. So, with that, I will turn it over to Pascal Nicodeme, our CFO, to run through some of the financial highlights.
Pascal Nicodeme: Thank you, Keith. So, yes, as you mentioned, it's been a very strong quarter from a financial perspective again. We've posted this quarter a net income of $58 million, and over nine-months it's $135 million aggregate net income that we have posted this year. This has been supported by a very strong performance from our investment company, Prime, which itself has posted [natural share] [Ph] profit from investment in joint venture of $71 million, and over nine months it's $168 million that we -- that they -- we can post net to our 50% in Prime. And Prime performance has been very consistent since we have closed the acquisition; it translates into a very stable net income. On average, we've received around $50 million a quarter since we've closed the acquisition. So, the only outlier in this performance has been Q1, 2020, when we booked an exceptional impairment on Kenya, of $216 million. But otherwise, performance since we've closed the acquisition has been very, very stable and consistent. And since we have closed the acquisition, we received $200 million of dividends last year. This year, again, we've received, so far, $150 million, and each time we've used part of the dividends to repay our acquisition facility [indiscernible] the initial $250 million facility. And therefore, today, we are standing on almost $39 million of cash. Our debt has been down to $23 million, so we are effectively in a net cash-positive position. So, going on to the next slide, the main event this quarter has been the refinancing of our $250 million acquisition facility. You will remember that we signed the loan agreement in May, 2021. We have actually completed the refinancing in July. We've raised $160 million of commitments with five banks, which became basically our relationship banks. The new loan is a significant improvement in terms of pricing compared with the previous loan. In the first 12 months, it's carrying LIBOR for 6.5%, which is very competitive compared to the structure of the loan. And the maturity has been extended to May, 2024. Since we have closed the acquisition -- the refinancing in July, we've repaid the new loan to $23 million. And we keep this $62 million undrawn availability undrawn availability until May, 2022. In that respect, we are in discussion with our five banks at the moment to extent this availability and also increase the available amount above $62 million. And the intention here is really to create a liquidity buffer for the company. And that was done by [aligning] [Ph] with these banks in order to, what in other purposes could be funding new acquisitions. Moving on to next slide, coming back again on Prime, very strong performance, this is the EBITDA and cash flow from operations net to Africa Oil since we've closed the acquisition. So, that's 50% of Prime's [gross] [Ph] figures. Again, the EBITDA has been very consistent between -- always between $100 million and $200 million over the quarters. So, in the first nine months of 2021, it's almost $490 million net -- net to us that Prime has booked as EBITDA. And in terms of cash flow from operations, it's $466 million, again net to Africa Oil. And today including the security deposit Keith has talked about, the Prime is sitting on $245 million of cash net to us and it's a closed debt of $514 million that's they continue to repay. And as Keith mentioned, one major effort for Prime this year has been the -- to try to slowdown the amortization of the RBL and the pre-export financing that they have just closed at $150 million and that will increase next year to $300 million is part of this effort to reschedule the repayment of the RBL and extend it beyond the license renewal dates. Keith, over to you to explain the use of these free cash flows going forward.
Keith Hill: Thanks, Pascal. So, yes, obviously, that's the million or billion dollar question is, what are we going to do with all this money? And I think, there had been under debate, what should we be doing with this? Well, I think, the debate for the first two years, there wasn't really much of a debate. It was -- we needed to de-lever this and pay off our debt. So, I think, we're going to be in a very good position to do that. And I think you'll see by the end of 2023, we'll be almost debt free not only in the company, but in POGBV as well. So, I think the -- I think that we can tick that box. So, the question is now what the excess cash we have, do we want to be looking at acquisition opportunities or do we want to be looking at shareholder returns. And I think the good news for us is that we actually can do both. So I think the -- between the increased debt capacity we have at our corporate facility, the potential dividends and cash on hand in the POGBV and the possibility of license renewal next year in both of our assets in Nigeria. I think there is going to be a lot of cash that we can use to grow the company to pick up hopefully another asset, somewhat similar to the Nigerian asset we picked up. But also, I think, it's kind of time for us to look at the shareholder returns. So, we do have in early December, we'll be meeting with our board. I think there's still a lot to debate, whether we should be doing buybacks or dividends, but borrowing something completely unforeseen between now and then. I think there's a very high probability that will institute a shareholder return program of either dividends or share buybacks. And I think the market from -- the message from the market is fairly clear that I think by showing the fiscal discipline to return some of the money to shareholder, especially as if we can take advantage of what I still think is a very good market and do acquisitions, I think that would be a very good result. So, I will say that we are quite active on looking at new acquisitions. We put in three bids on properties. We see our sweet spot really being West Africa offshore, mostly divestment from major oil companies. We're looking at producing cash flowing assets and I do think we're in a very unique period where we're going to actually have more sellers than buyers. So, I think we're not going to be out spending money, buying things on high oil price. Our plan is to use a conservative $50, $55 oil price to do acquisitions. And if I'm right about oil prices going up, we can see a big windfall, but I think having been in this business a long time, I've seen the oil price go up and down. We need to be buying things that we can support on lower oil prices. But as I said before, I do think we're looking at a supply driven price spike that I think I predicted last year about this time and I think we're seeing it come to fruition. I think with all of the lack of investment, I think we're going to see that trend of supply limitation continue. So, anyway I think that from a financial standpoint, I think we're in really good shape. We paid off our debt. We're going to be instituting a shareholder return program and we still have money for acquisition, but I think we still have some other exciting things and all of you know that I'm an explorer go to next slide and we do have some very exciting exploration coming up. So, I think the well on the left there is the Venus well, the drill ship is sailing as we speak, and will arrive on location next week. So, this is a very deepwater well, 3000 meters, the rigs quite capable of it because it just drilled a 3,650 meter water depth well [indiscernible] in Angola, which is the deepest well ever drilled in history. So, what we like about this prospect is mostly the size. So, this is the biggest prospect I'll ever drill, probably it's 600 square kilometers. It's got the amplitudes that fit the structure. It's got nice ABO response, we believe it's oil, not gas, the real question is how thick and good the reservoir quality is, we're going to know pretty soon this is about a 60 day well, and that we should be seeing results. I'd like to tell people, it's by Christmas, but I think it's probably going to slip into the New Year. But again, this is probably the most exciting well being drilled in the world this year, so, quite excited. The well on the right is the Gazania well in 2B, we're still this is held through Africa, energy one of our portfolio companies, I should mention the Venus well will actually impact oil and gas, which is another of our portfolio companies. We're still trying to get the rig sorted out for Africa entity, we are hoping to drill it this year, but I think it looks like it may slip into next year. But again nice rig basin, a really nice prospect, and I think both of those are really kind of game changers for us. The Venus well is legitimate multi billion barrel prospect. And I think if it's successful, it could have a very significant impact on the company. But don't forget about Kenya, for those of you who have been with the company a long time, that was where we started. And after, I'd say 10 years of hard work, not only we found oil, but I think we've got a project that actually makes sense. Now, I think we're very aligned with our partners, [indiscernible] and Totale, we're also aligned with the government. And I think we're seeing quite a bit of interest in this project now. So, I think there's no guarantees that we will find this strategic partner we're looking at to be in a position to execute this project. But I can tell you that there's quite a bit of interest here. So, we are going to be in a position to submit our final field development plan to the government by the end of the year. And I think if we can bring in a strategic partner, I think you'll see this project, which is taking a lot longer than all of us would like finally getting off the ground and moving forward. So, I think, those of you who have been through the journey with us, we started as a kind of a rank exploration Wildcat company in East Africa, we had some good success and got a development project, we're fortunate enough to bring in a couple of good partners, and with some of the partners came a large chunk of money that we were able to parlay into a field in Nigeria, that gives us a great production and cash flow, and also to pay for the base amount for our exploration portfolio companies. So, I think now we're very much of a full cycle exploration company, exploration Production Development Company. And I think, we see this as kind of the first step, we still want to grow, we still want to get bigger. We've got 30,000 barrels a day and almost 100 million barrels of reserves. And we've got great projects, I think you look at the OpEx on Nigeria, it's one of the lowest, it's one of the -- we produce almost 25% of Nigeria's oil from our three oil fields. So, these are top notch fields. Kenya is going to be also a very good project. I think we are one advantage it has is that it's got a lot of renewable energy around it. So, we're seeing, we're looking at is to being a very low carbon intensive development. And we have, we are on board with the new ESG directives. And we have pledged and we have a plan to be carbon neutral by 2025. I think you'll see us putting some of those projects, we've got two projects that we're actively working on now to actually do some of the carbon offsetting, we need to gain that carbon neutral target. And I think you'll keep an eye for those next year because I think that's going to be an important part of all of our business in gas business. So, I think that's all I had to say. I'll let you read through the reader advisory and I think I'll turn it back to Shahin and we can answer some questions.
Shahin Amini: Thank you, Keith. Mary, perhaps you could give the instructions for people to submit questions on the conference.
Operator: Yes, of course. [Operator Instructions] And we can now take our first question. Caller, your line is open, please go ahead.
Unidentified Analyst: Good morning and good afternoon. At $65 oil -- and my name is [Thomas Adams] [Ph]. At $65 oil, Prime net present value at a 10% discount rate is roughly $2 billion, Kenya is $600 million, and Africa Energy, depending on assumptions; let's say for simplicity, $400 million. Africa Oil has total enterprise value just north of $1 billion, thus half of producing [NPV10] [Ph], and one-third of NPV. My first question is, is there such an M&A transaction available in the market today at one-third of enterprise value to NPV10 after tax which would be required to be as attractive as share repurchases? And my second question is, [indiscernible] has $40 million of cash. I'm not aware of whether the Board has authorized or the TSX approved a normal course issue or bid. Why not commence a buyback immediately in lieu of a dividend as the most tax-efficient return of capital, and mostly likely the highest return on capital? Thank you.
Keith Hill: Now, I appreciate that question, and it's a question I've talked to with many people, and everyone has their own opinion on this subject, there's pros and cons to both. I think the share buyback is something we don't need to go through many approvals with the TSX. It's something that we basically do a filing, and we can do relatively quickly. And that is one of the things we will be considering in December. So, the $40 million we have in the bank now, we do have some things we need to spend that on in the short-term. But we hear, loud and clear, the shareholders saying they want some of that money back. Some of the downsides of a share buyback is that it tends to decrease liquidity. So, for some shareholders, liquidity is an important issue. So, if we're going into the market and buying up kind of the [free flow] [Ph], leaving more the long-term shareholders, that that is an issue for some shareholders. There's also tax reasons, that some people prefer dividends, some people prefer buybacks because of their individual taxes. I think all of those things we'll take into account. And your point about is there an acquisition we can do which is more accretive than the assets we have; we definitely take that into consideration. When we're buying something, if it's not accretive to the value of the company, you're spot-on; we should be buying back our share, as opposed to going and spending that money on buying something else.
Unidentified Analyst: Thank you. Just on the hedges, you said you hedged six cargos. And are those Aframaxes or what is the total volume of the -- 
Keith Hill: Yes, they're one-million barrel [indiscernible] plus or minus.
Unidentified Analyst: One-million barrel cargos, okay, thank you.
Operator: And we can now take our next question. Caller, your line is open, please go ahead.
Unidentified Analyst: Hi, guys. It's [indiscernible]. Thank you for taking my questions. And I've got, well, three. So, I just want to ask two of them, and then a follow-up. And, Keith, from the comments you made earlier today, it looks to me that the priority for Egina would be to some infill drilling, as opposed to bringing [indiscernible] into the [hopper] [Ph]. Is that just because the [totality thinking] [Ph] this might be the most -- well, the best return for the dollars or is it more of a case of the license renewals? That's the first question. And the second one is for Pascal, I guess. Pascal, when I was updating my model for third quarter, it [struck to me that] [Ph] you kind of like paid down pretty much the entirety of this new facility and the old one in the same quarter. So, I'm just wondering what's the possibility of converting this into a revolver, as opposed to just [indiscernible] that just got paid in just a couple of quarters? Thank you.
Keith Hill: So, yes, I'll take the first one, and then pass on to Pascal. So, yes, I mean the use of CapEx to grow production at Egina, and it's basically what we're talking about is trying to keep the Egina FPSO as full as possible. So, in the short-term, our -- probably our best use of those funds is to go drill some, and infill wells, so we can -- those will be tied back in immediately. But in the medium-term, there's no doubt [indiscernible] is going to be vital to keep that FPSO as full as possible. So, I do think license extension would make it a lot easier to spend that money. If you look at the timeline, we'll be out drilling wells, putting in a subsurface facility -- or subsea facilities just about the time our licenses expire. So, we'll feel a lot more comfortable. And I think some of our partners, in particular, might feel a bit more comfortable if we got that license extension, so that we're guaranteed that everything we're spending on [indiscernible] we get to see the benefit of. But, I think this -- we have deferred a bit of CapEx, and I think it's time to take a little better care of these fields. We are looking to [shoot 4D and] [Ph] we've just finished 4D in Egina, we're looking to shoot 4D in Agbami, next year. And I think you'll see us spending some money to try to keep these vessels as full as possible. That's really the key, we've got three FPSOs that have 200,000 barrel a day capacity, and not only [indiscernible], but some of the other satellite deals. I think that's a near-field opportunity, what they like to call [advantage barrels] [Ph], I think is going to be very important to getting even more value of Nigeria. So, I'll turn over the Pascal for the second question.
Pascal Nicodeme: Sean, you're exactly correct on the way we've repaid the facility. So, end of June, we had $123 million outstanding under the BTG loan. When we closed, end of July, we received another $25 million that we applied immediately to repay the new loan down to $98 million. And, in September, we received another $75 million, and again, the full $75 million we have applied to the repayment of the new facility down to $23 million. But we kept the availability under the $160 million, so we've just cancelled, basically, $98 million, and the $62 million remains available. So, regarding your question, whether it would be -- make sense to transform this facility into an RCF instead of a term loan. Well, that's indeed a good question. We wanted to keep the structure as simple as possible. And, of course, our banks were keen for us to repay the facility each time we were receiving a dividend. Therefore, there was no need for a revolving facility, basically. But now that we have this availability of $62 million and, as I said, we plan to increase this availability to keep it as a liquidity [indiscernible] potentially for future acquisition in the future. But again, the intention is if we draw on that availability, let's say, in the next 12 months, we still intend to repay it as soon as possible. The fact that it's not a revolving facility at the moment doesn't really make a difference because our intention has always been to fast track the repayment of our debt. And as Keith mentioned, today we have $23 million available. Prime is expected to distribute another dividend probably this month, so in December. And in that case, the outstanding $23 million would be repaid in full immediately. So, that's why I think we want to stick to that sort of mechanism. We draw on the liquidity [indiscernible]. But immediately when we receive a dividend from Prime, we apply, I mean, the maximum amount we can to the repayment of this loan.
Unidentified Analyst: Okay, thank you. And my follow-up is on the restructuring of the DPR, which I believe was concluded about a couple of weeks ago. I was wondering has there been any kind of like updates, I presume this structure must have been very disruptive for the conversations with the license renewal. So, any color there would be quite helpful.
Keith Hill: Yes, I think we're still kind of feeling our way around the new structure, and I think the Nigerian government is as well. Obviously, with [an NPC basically becoming a standalone company, and DPR having different responsibilities, I think it's going to take a little while for us to understand exactly how to do it. Now we do have Shell at South Bonga just extended their license. So, there is kind of a blueprint of how we go about it. So, I think that there are some issues around when you actually convert to the PIA and extend your licenses. So, each block has its own issues, and each partner has their own issues. So, I think it'll take a little while, we're kind of looking for mid-year to get an extension on both of those licenses out there. There definitely are a few things that we need to make sure fall into line on both of those blocks before we go ahead and get the extension of those licenses.
Unidentified Analyst: Okay, clear. Thank you.
Operator: [Operator Instructions] We can take our next question now. Caller, your line is open. Please go ahead.
James Hosie: Hi, good afternoon, it's James Hosie from Barclays. Just a couple from me, Keith, you mentioned buying assets at price makes sense at $50 to $55 a barrel but predicting a commodity price spike. So, therefore a sense of urgency, if you're getting deals done. Now, are you seeing any signs that sellers price expectations are rising? And then my other question is just in your comment about carbon neutrality by 2025. Just wondering to what extent you can reduce your emissions with operational improvements rather than offset and if you're able to quantify the cost of achieving that 2025 target with offsets? Thanks.
Keith Hill: I guess -- I'm sorry, the first question again, I was thinking about the second question, I lost first one.
James Hosie: So, yes, your comments about buying assets price mix $60 to $65 a barrel and predicting should be price spike?
Keith Hill: Well, the answer to that is, if the majors are willing to sell them at that price, we're quite keen to buy them. I think since oil prices come up, it may cost us a little more to buy things than it would have a year-ago, we have put those some bids in. And one thing we would have done in our bids is actually put some contingent payment for oil price. So, in other words, we're not kind of expecting the majors to take all of the oil price upside away. But we're not also expecting us to take all the oil price risk. So, one thing that seems to be acceptable, so to some of the sellers is, we share some of that upside. So, for sake of argument, if oil stays at $65 or oil stays at $75, there's a contingent payment to be made on top of that. And as far as I know, our ESG is, we are quite committed to do that. And it's really three components that you're trying to do, you're trying to avoid doing anything that have a CO2 footprint. So, for example, like in Kenya, we're in the design phase, we will not be flaring gas, we will be re injecting gas, or we will be using it for fuel as little as possible. But we'll also be using renewable energy. So, the first is to avoid, second is to reduce. And I think right now, about 25% of our CO2 footprint comes from flaring gas at Agbami. So, this is a big thing for us. And it's a big thing for Chevron and Equinor as well, we want to get that flaring down to a minimum or to zero in Agbami and I think there are a number of ways from power generation to venting declaring that we can reduce those that footprint, but you're going to end up with something, I think that's where the kind of the third part comes in, which is basically the offsetting, we're not in the -- we don't have the idea that we should just be going out and buying offsets because I think the offset market is volatile, and I think there's going to be huge competition for these offsets, as some of the COP26 guidelines and principles become enacted. So, we'd much better like the idea that we're actually going to go out and start creating our own offsets, I think for being in Kenya is one of our main countries, we've got two projects in Kenya that we're doing just add on, there's opportunities to kind of do a socially good project, but also that has some great carbon offset opportunities. So, we've looked at the cost of these things to the Kenyan design, all-in project cost to try to limit that the CO2 from there, we're probably in the $20 million to $30 million gross for the whole JV. I think on the carbon offset obviously that means that depends on how much you want an offset but $5 a kilogram CO2 compared to what we think might be $25-$30 of the price of the offset. We still think is a very good bargain. So, I think, obviously this one of the biggest challenges we're going to have as an industry is finding people willing to finance in the new carbon neutral environment. And I do -- but I do think if you're a good actor and you're in the top 25% or probably more likely the top 10%, you're still going to be investible. Some people will like not to invest in fossil fuels, but I think if you're doing it responsibly, I think there still will be a market for investors in our space.
James Hosie: Yes. Thank you. Completely agree. Thanks, Keith.
Keith Hill: And I do appreciate The Santa Clause reference, James. Well, well, wait to see what you say in December. Thank you.
James Hosie: Waiting to see him in December, thank you.
Keith Hill: Thanks.
Operator: We have no further questions over the phones at this time.
Shahin Amini: Okay. We have a number of questions submitted over the webcast. Perhaps let's tackle one that we could pass over to Pascal. I think this is an important one; Pascal, Africa Oil's contingent payments liability to Petrobras for $118 million, what is the status on this?
Pascal Nicodeme: Yes, so as you know there has not been any formal redetermination of the type participation on Agbami. So, there is no deferred consideration payment triggered by the agreement Prime has signed with Shegaon and Equinor.
Shahin Amini: And a follow-on question related to this is to do with the Equinor security deposit, can you provide an update on this money and what are the plans?
Pascal Nicodeme: Yes, so that's -- I mean that's a private agreement that has been signed between Shegaon, Equinor and Prime, as I mentioned, whereby Equinor agreed to pay $305 million to Prime as a -- to settle basically an imbalance payment due to the difference in the percentage that [indiscernible]. So, now Prime is sitting on this $305 million of deposit and they are currently considering the best options to -- with this deposit. One option is of course to repay the RBL facility with the deposit. And Prime is taking legal and tax advice on what they can actually do and tax advice is particularly important. So, hopefully data analysis is going to come out pretty soon now.
Shahin Amini: Very good. And sort of changing focus back to Kenya, Keith there's one for you. And this is regarding the deal with Maersk. The question is, is there any carry left through that deal that can be used for the project moving forward?
Keith Hill: I think the short answer is no. I think there is a possibility there could be money that could be paid, but to do that, we would have a -- have to have a resource growth that would be incredibly large. So, I think, I don't believe that there is a path insight to get that, but certainly we're aware of it and Totale is aware of it and we will be having a good look at that. It is open up until the point of FID. So, I think we still have time to investigate that, but I'd have to say if we were going to get it, we'd have to be pretty much in excess of a billion barrels of reserves and I think that's probably fairly unlikely to happen between now and FID.
Shahin Amini: Very good. And this question, you actually it's an interesting one, Keith, one that has been asked in the past and it's regarding Africa Energy. The question is, is this the right time to bring Africa Energy back into the bosom of Africa Oil, especially with the progress on that 11B/12B?
Keith Hill: Yes, I guess, the short answer to that is we love the project and we think it's not only a good project that takes a lot of boxes for us. We've got a great operator. We've got a project that meets a lot of ESG, picks a lot of boxes on that. You probably saw that in in COP26, they've pledged $9.8 billion to South Africa to help them in the transition from coal to cleaner fuel. So, I think, there's a lot of momentum on this project. I think, whether it belongs in Africa Energy or Africa Oil, I think we in the Lundin Group would like to see it stay in the group. I think for the moment, it's quite happy sitting in Africa Energy. But I think at some point, maybe a discussion could happen that would it be a better home in Africa Oil, I think the important thing on that is we are very close to putting the petroleum right application in. And I think there's a very well thought out scheme by Totale that I think I've seen a lot of press lately, that is going to get Phase 1 production up and running relatively quickly, relatively modest costs. So, I would defer to Africa Energy on this and suggest you visit their Web site. It's a project we really like, it takes almost every box that we want. It's good returns, it's got big upside. And it's a very ESG friendly development.
Shahin Amini: Another one for you, Keith, as well as asset acquisition opportunities, are you also looking at corporate mergers and if yes, what are the type of companies that you're looking at?
Keith Hill: Yes, I mean, I think that's getting into a little bit of a confidential area. But what I will, I'll say a few parameters, we've looked at a lot of companies, I don't think I want to do a company absorbing a much smaller company, I think to get something that only has 4,000 or 5,000 barrels a day, it's a lot of work to do a deal like that, for not that much gain. I think if we looked at something, we'd kind of be looking for a merger of equals and we've looked at a number of companies. And essentially, that's we're probably not going to be buying them for cash. So, it's our paper more valuable than their paper. So, far, I haven't found that many companies whose paper is more valuable than mine. But I do think there's a consolidation that's going to happen in our space. And I think, there is a size matters at some point. And I think, once you get above a billion market cap, once you get above $2 billion market cap, you do open up to a lot of new investors. So, I would say right now, we don't really have one right on our radar screen. But there are a number of suspects, we're keeping our eye on, unfortunately and as our shares have doubled in the last year, our paper may be coming closer to the U.S. currency. But I think the earlier question about is it better to go merge or buy with a company to buy our shares? Right now I'd have to say, probably buy our shares and print a lot of new paper to do a merger.
Shahin Amini: And shifting the focus to our equity portfolio, the question is what is your long-term strategy for your investment on Eco Atlantic, and I suppose we could extend that question to also cover impacts and Africa Energy, which you've already touched on in the previous question?
Keith Hill: Economic, you know, Eco Atlantic, the hottest best place in the world to look for hydrocarbons is Guyana. And they've got a nice position in Guyana and they will be drilling wells there. I think [indiscernible] slightly as an Eco direct for that. We're hopeful that there's a well drilled there next year, we've got some very good looking prospects. There's a block right next door called Kanuku that was looking to do well on as well. So, we did drill some wells in the Canje Block unfortunately, we did find oil, but we didn't find good reservoir for that oil. So, I think we've got a lot of, we still think Guyana has got a lot of growth. So, that's a focus of Eco. Eco is also in Namibia, and of course, Namibia with the Orange Basin, we've got two very highly prolific wells about to come up there. So, not only our Venus well, that Shell is drilling a well called the [indiscernible] well, that's actually on two different play types than what we're doing. We have a very good acreage position, we kind of take our whole portfolio companies together Africa Oil has a Block 3B, 4B Africa impact of course has two good blocks, right in the heart of that trend. And Eco has blocks in Namibia, just to the north of that. So, I think you'll see that that area heat up if one of those two wells is successful. So, long-term, I think we'd have to think about what we want to do with our exploration portfolio. We're not a portfolio management company, I think at some point we have to do one of three things, we either have to sell our interest in them, we have to buy the interest and absorb them or we have to think about spinning off and doing like an exploration focus vehicle. So, I think the key is, let's drill a few of these wells first and see what we've got. Obviously, the Venus well is going to be the shortest duration most critical one, but Gazania and I think once we kind of see what the results of those are, I do think there's a consolidation of those exploration portfolio companies. I think the monetization of those is on the slate for 2022. I think sometime in 2022, we will deal with consolidating those interests.
Shahin Amini: Let's go back to Pascal with one question regarding Kenya. And this is to do with the historical write down of value in Kenya, which has already been stated and covered in our financial statements and MD&A. So, Pascal, the question is, is there a scope for reversing this, if things are actually moving forward and improving on that project?
Pascal Nicodeme: Yes, I mean indeed, I mean, we impair the whole project by $355 million. So, it's now down to approximately $190 million. There will probably be scope for reversing that impairment, if the form out that we are progressing in Kenya materialize at some point, in which case, we would probably recognize a reversal, but it's not the intention at the moment, at least until we have more clarity on the funnel process.
Shahin Amini: Very good. We have a number of other questions, but are mindful, Keith, that you've also got another commitment coming up at the end of this hour. So, I suggest that we conclude the call now. And I can follow on those questions that we haven't had a chance to get to, on a one-on-one basis. So, I'll hand back to Mary to conclude this call.
Operator: Thank you. This concludes today's call. Thank you all for your participation. You may now disconnect.